Operator: Good afternoon, ladies and gentlemen, and welcome to the Heidelberg Druckmaschinen AG Conference Call regarding the publication of the Q3 Results of the Fiscal Year 2023, '24. [Operator Instructions] Now I hand the floor over to Ludwin Monz.
Ludwin Monz: Yes. Thank you and good afternoon, ladies and gentlemen. Welcome to Heidelberg's Conference Call on the Third Quarter Results of Fiscal Year 2023, 2024. On our first slide you see today’s agenda which includes a discussion of our nine-month financial performance but also an initial overview on our value creation program. However, I would like to start with a brief summary of our nine-month results and then my colleague and our CFO Tania von der Goltz will take you through the financials followed by the section on our value creation program. Then finally I will conclude with our outlook for the current fiscal year before we welcome your questions. So let's start with a summary of our nine-month results. Despite a further weakening of macroeconomic factors in the overall economy, Heidelberg recorded a solid performance in the first nine months of the fiscal year demonstrating resilience in our financials. Net sales remained on prior year's level when corrected for some currency headwinds. Our adjusted EBITDA margin has even improved ending up 80 basis points higher than prior year. This is particularly pleasing when you consider that we were faced with declining volumes and inflationary pressure. We anticipated this headwind at an early stage and mitigated it with price and efficiency measures which we introduced as part of our value enhancement program. In addition, product mix effects also had a positive impact on the EBITDA margin compared to the previous year. As you can see, Heidelberg is actively counteracting sluggish economic development and is confident of achieving our annual targets. However, the order trend indicates that markets are slowing down presumably driven by the high interest rates. In addition, we observe some customers postponing their investment decision ahead of the upcoming Drupa. While we had a strong first half of the year, we stood in contrast to the development of the broader engineering sector. The third quarter, we were down by 17% year-over-year on a currency adjusted basis. Especially North America and also EMEA trended weaker while we saw a stable development in Eastern Europe and Asia Pacific. However, as we can look back on an overall solid performance in the first nine months and have a solid order backlog, we can confirm our guidance for net sales and the adjusted EBITDA margin for the full year. Confirming our guidance for the current year is not easy given the headwinds we have experienced in the recent quarters. In the past and still today, Heidelberg's profitability reacts rather sensitively to changes in production volume and inflationary influences due to the higher high fixed cost base. Even though overcoming this challenge is part of our long-term strategy, we currently have to deal with this problem as it cannot be resolved quickly. However, we identified this challenge early on and worked to mitigate the negative effects on our profitability. Our value enhancement program ensures the effective implementation of a large number of initiated measures. It has already contributed €38 million to our adjusted EBITDA after nine months of the financial year. Comparing our performance to the broader market, which in some cases has had to revise its earnings forecast, we have shown a solid performance, which is illustrated on the right-hand side of this chart. In contrast to the general market trend, we were able to improve our adjusted EBITDA margin in the last three months compared to the previous year and expect stability for the year as a whole. In this context, it can be stated that this would not have been possible without the early initiation of the value creation program. So we will hear more about that in a minute. So much about my introduction and I will now hand over to Talia.
Tania von der Goltz: Thank you Ludwin. Good afternoon everyone and thank you for joining us today. Before discussing our financial performance after nine months somewhat deeper, let me briefly summarize the key developments of the third quarter. Taking a look at the single quarter, orders received showed first signs of a declining demand due to the sluggish economic environment and the upcoming trade fair, decreasing by 19.3% year-over-year to €508 million. However, one should not forget to mention that we had a solid first half year in terms of orders received, trending better than the broader market development. Net sales were at €594 million, which was on prior years' level when excluding currency headwinds of €13.4 million. The adjusted EBITDA, which is excluded for non-recurring items, totaled €34 million in the third quarter, representing a slight increase in EBITDA margin to 5.7%. Due to our early countermeasures, as my colleague already mentioned, we were able to successfully offset negative effects from increased costs and decreased volumes. Please note that there were no non-recurring items to be adjusted for in the third quarter of the current fiscal year. In the prior year's third quarter, we adjusted an income of €7 million for a capital contribution to our joint venture with Masterworks in China. Let's conclude this section with a look at our cash flow. The operating cash flow improved compared to prior year's third quarter, but was still negative. However, it was at minus €23 million due to an increase in net working capital caused by declining advance payments. Free cash flow was then at minus €26 million in the third quarter, compared to minus €4 million last year, which included a cash inflow from an asset deposal in the U.K. amounting to €39 million. In summary, free cash flow improved by €13 million in the third quarter when adjusting non-recurring items in the prior year. Let's now switch to our financial performance for the first nine months, starting with a review of our segments. First, our packaging solution segment. Although orders received in our packaging solution segment trended somewhat weaker in the third quarter, they still showed solid performance after nine months, despite a subdued investment sentiment in the capital goods sector. The first half year was exceptionally strong, particularly due to a recovery in Asia-Pacific and Eastern Europe. In total, orders received remained stable on prior year's level over the first nine months, totaling €862 million. Overall, we continue to see a robust order pipeline with some restraint due to the upcoming trade fair. Net sales in this segment significantly increased by 8% year-over-year to €874 million due to the high order backlog in the nine-month period. Accordingly, the adjusted EBITDA improved compared to prior year, despite being burdened by some cost for strategic R&D projects. Now moving on to our next segment, Print Solutions. Orders received continued to trend lower in the third quarter year-over-year. After nine months, they were 16% below a rather solid previous year. Although investment sentiment within this customer group remains weak, we observed that printing activity has remained quite robust over the past month, providing a solid basis for our after-sales services. However, net sales amounted to €804 million and were 10% lower year-over-year, primarily due to a decrease in new machine deliveries compared to last year. Now finally, our Technology Solution segment. We continue to observe a challenging market environment. Even though we recognize that sentiment is improving again, net sales remained on prior year level. Adjusted EBITDA was at minus €13 million after nine months and minus €3 million in the single quarter. Reflecting our ongoing efforts in developing new products and refining our sales structure. Let's switch to the next slide, which shows our regional breakdown. Starting with EMEA region. EMEA region trending weaker in the third quarter due to the general economic slowdown and the well-known investment hesitance ahead of the Drupa trade fair in May. Only a couple of markets in Eastern Europe showed a favorable performance, but this could not make up for the decline in the other EMEA markets. As a result in EMEA, orders received decreased by 10% after nine months, while net sales were only down by 4% compared to prior year. Shifting our focus to the Asia Pacific region, where orders received improved by 10% after three quarters at constant currency. Third quarter showed a sound development, especially as China was better year-over-year. Net sales improved by almost 6% year-over-year after nine months at constant currencies. Now let's finish this section with a view on Americas. The North American market encountered some headwinds in the third quarter, which could be partially offset by a strong demand in South America. Orders received were almost 17% lower than the strong figures from the previous year, hardly affected by currency headwinds. However, thanks to a robust first half year and a solid packaging business, net sales were stable compared to prior years. Now let's look at our EBITDA Bridge on slide 10. To get a year-over-year comparison, we first have to adjust last year's reported EBITDA for a one-off gain of €12 million from the sale of a property in St. Gallen, Switzerland, as well as a one-off gain of €7 million from an asset contribution to our joint venture masterwork in China. Accordingly, last year's adjusted EBITDA amounted to €125 million after nine months, corresponding to a margin of 7.2%. Despite facing a substantial foreign exchange headwind of €46 million, which is mainly related to the development of the renminbi and the Japanese yen, net sales demonstrated stability when adjusted for this currency effect. However, a decline in volume, combined with a weaker capacity utilization to the previous year, resulted in a negative margin impact of approximately €31 million. In addition, increased costs put some pressure on our margins, especially personnel costs recorded a year-over-year increase of around €20 million due to higher tariff wages in Germany. Conversely, product and country mix effects, particularly a stronger business in the strategically important Asia-Pacific region, had a positive margin impact. And in addition, our value creation program contributed €38 million to the year-over-year EBITDA improvement, basically through inflation compensating, pricing and other efficiency measures. Thanks to our proactive measures, we were able to balance out negative effects in the first nine months of the current fiscal year. We are actually confident to meet our annual financial targets. Overall, adjusted EBITDA totaled €135 million, representing a margin of 8% compared to 7.2% in the prior year. And please note, there were no non-recurring items in the first three quarters of this fiscal year. Moving on to the next chart, on page 11, adjusted EBITDA to earnings before tax. Please note that we are now referring to reported figures without adjusting for non-recurring items. Despite a slight decrease in depreciation year-over-year, EBIT reached €78 million. Our net financial result was slightly weaker compared to the same period in the previous fiscal year, resulting in increased net financial expenses of €27 million, as non-cash interest expenses to pension obligations were higher. However, interest expenses on financial liabilities remained quite low at €2 million, as elevated interest rates had only a minor impact on this line item. Finally, our interest expenses experienced a slight year-over-year increase, primarily due to transaction costs related to the refinancing of our revolving credit facility. In total, earnings before taxes amounted to €52 million. On the next slide, we move from the earnings before tax to earnings per share, finalizing our view on our P&L. Despite lower earnings before taxes, effective tax expenses increased year-over-year, actually basically due to withholding taxes on increased dividend payments. Conversely, deferred tax expenses normalized after a deferred tax income of €4 million last year, in relation to the sold property in Switzerland. As a result, net income was at €34 million after 9 months, compared to €54 million last year, which included the aforementioned non-recurring items. When divided by the number of shares, earnings per share were this year at €0.11. Now on the next slide, a closer look at our operating cash flow. First of all, and as aforementioned, adjusted EBITDA was higher year-over-year, contributing a €10 million improvement to operating cash flow, while cash outpour pensions as well as taxes were higher compared to prior year. Secondly, a tighter steering of working capital lowered the for Heidelberg [ph] typical seasonal production-related increase in net working capital, actually helping to improve operating cash flow by €43 million year-over-year. The net working capital increase would have been even lower and thus improved operating cash flow even more, if down payments had not declined in the third quarter due to the decrease in orders received. In summary, our operating cash flow was at minus €38 million and improved by €34 million compared to prior year, which really marks a sound improvement. On top, we even expect the cash flow to turn positive in the fourth quarter as we expect a further reduction of working capital towards the end. Let's finish the cash flow section looking at our investment cash flow. The aforementioned improvement in the operating cash flow can also be seen in the free cash flow after nine months on an adjusted basis. First of all, while investments were on prior year’s level, proceeds from divestment were significantly lower. A non-recurring cash inflow from an asset deposal, from asset deposals of €72 million were included last year. Other items were almost neutral in the current year. While prior year included a tailwind from proceeds of a financial investment of €20 million reported within the investment cash flow section. As a result, free cash flow amounted to minus €54 million after nine months. Trending below prior year but adjusting prior year for its non-recurring cash inflows, it actually improved by €34 million. Overall, as aforementioned, we still expect free cash flow to be positive in the full year. This is also a result of our value creation program which plays an important role in achieving this. But I will share with you further details later on. But now let's conclude the financial section with a view on some balance sheet figures as presented on page 15. First, our net financial position which was at a balanced level at the end of the second quarter, now being slightly negative after nine months at minus €21 million. This was primarily driven by the negative free cash flow and a non-cash increase in lease liabilities. It should turn into positive again as we expect a positive free cash flow at the end of this fiscal year. Equity was slightly below the end of last fiscal year at €488 million, corresponding to an equity ratio of 21.8%. This was mainly caused by an increase of our pension provision due to a decrease in the applicable discount rate in the third quarter. Finally, let me comment on our net working capital development. Compared to the beginning of this fiscal year, inventories were higher due to the peak in production before year-end, while a positive development in trade receivables cushioned this somewhat. And comparing to prior year's nine months, lower down payments caused an increase in net working capital as the orders received were higher a year ago. Let me conclude with a summary on our financials. Despite a challenging economic geopolitical environment, Heidelberg successfully demonstrated stability in the first nine months of this fiscal year. Our value creation program strongly supported profitability as well as cash flow generation, compensating for headwinds in the current fiscal year. Heidelberg builds on a strong market position and the ability to react on changing environment. Actually, we expect to keep our current financial performance also in the upcoming year. And this is supported by our value creation program, which brings us to the next item on our agenda. Let me start this section recapturing why we have actually initiated this program. The value creation program stands for our commitment to improve Heidelberg's performance and competitiveness. Heidelberg's profitability, as well as its cash flow generation, has improved, but remains on a rather low level while the company is navigating through both short and long-term challenges. The short-term hurdles primarily stem from the weak economic environment, while the long-term challenges are a result of structural changes in our industry. However, we have anticipated these changes and within our value creation program, we have set a clear objective to provide an early and effective response. The short-term headwinds were indicating some pressure on our margins, as Heidelberg's profitability shows a strong volatility during economic contractions due to its high degree of fixed cost relating to our deeply integrated value chain. Therefore, our initial focus has been on mitigating the impact of these short-term challenges and securing to meet our guidance and ambitions for the current fiscal year. But the program extends beyond a short-term perspective, as we recognize that a sustainable bottom-line impact necessitates a holistic long-term approach that goes beyond cutting costs. Therefore, our program strategically covers top-line initiatives across all geographies too, and they are crucial for improving margins over the long-term. Structural adjustments to our setup are also included in the scope. However, one key learning from past transformation programs has been the importance of execution, which is something that we have considered when designing our value creation program. The program is deeply integrated into the Global Heidelberg organization. It has been developed as a high-performance implementation execution engine, ensuring our strategies and initiatives are effectively and efficiently implemented throughout the organization. Therefore, we have also aggregated all existing improvement initiatives across Heidelberg for acceleration of implementation. Let me emphasize again, the overarching rationale behind our value creation program is to strengthen our financial performance and competitiveness, and this brings us to the next chart. Let me continue with more information on the status and the integrated structure of our value creation program. As of today, we successfully completed the first phase of the program, in which we identified improvement potentials and set up a sophisticated program structure with a high-performing team, ensuring effective and efficient execution going forward. The program and its initiatives are strategically structured in three different timeframes. Firstly, short-term initiatives implemented within this fiscal year are geared towards safeguarding our guidance and reinforcing both profitability as well as cash flow generation. Secondly, the medium-term initiatives are intended to further enhance and improve the underlying profitability also in the upcoming years. More than 250 short- and medium-term initiatives are already in the process of implementation, with tangible benefits already accruing in Q3 of the current fiscal year. The income generated from these initiatives are then providing the financial headroom to finance structural adjustments in the long-term, aiming at the optimization of our structures and processes in order to secure Heidelberg's competitiveness in the future. At this stage, we are currently evaluating initiatives with long-term impact, detailing their planning and preparing their implementation. With the next chart, let me explain to you in more detail our holistic approach to stabilize and improve Heidelberg's profitability. The program is structured along three clusters, namely top-line, operations, cross-divisional execution. Initiatives in the top-line cluster strengthen both our direct sales activities globally as well as our service business. Heidelberg actually builds on a strong customer relationship and a best-in-class service. Given the largest installed base in our industry, with roughly 10,000 addressable assets, as well as our focus on output-oriented customers, we do see potential for extending our service coverage going forward. This initiatives will increase our service coverage on existing machines. For example, by a more comprehensive modular service offering, expanding remote maintenance capabilities followed by a strategic redesign of our service to a more modular approach. Additionally, we aim to strengthen the competitiveness of our offerings in growing but more price sensitive markets, building upon our continued success in the Asian region. Lastly, we are adapting a more value-based approach to pricing, seeking to bolster our price enforcement capabilities, which is essential to absorb inflationary pressure as well. Now, the operations cluster. The operations cluster includes a couple of initiatives in the area of our production cost, such as design to value approach for certain component groups or the optimization of our production network. Optimizing our production network will certainly take some more time, given the complexity of our current setup. In addition, we're aiming to improve our general and administrative cost space in line with the aforementioned. Lastly, the cross-divisional execution cluster includes overarching and enabling activities. For example, our dedicated value delivery office that focuses on steering, tracking, and safeguarding the P&L and free cash flow impact of all relevant initiatives. Moreover, this cluster combines our overarching networking capital optimization activities as well as improvements in performance steering. Talking about the improvements in performance steering, let's move on to more details of our free cash flow generation. As you can see from this chart, we see a solid contribution to the free cash flow improvement in the year-over-year comparison. When adjusting the prior year's reported figure for non-recurring items of €72 million, prior year's free cash flow was actually at minus €88 million. Certainly, our cash flow experienced some year-over-year headwinds during this fiscal year, too, due to increased cost and decreased volumes. In addition, the weakening trend in orders received caused a reduction in down payment, which also had a negative free cash flow impact. However, the improvements relating to our value creation program in our adjusted EBITDA that mitigated the aforementioned headwinds also contribute positively to the free cash flow in the first nine months. In addition, we optimized networking capital by reducing certain inventory positions and improving our end-to-end processes. In total, the free cash flow impact of our initiatives managed within our value creation program totaled €65 million after nine months in this fiscal year. Although free cash flow amounted to minus €54 million after nine months, it strongly improved against the prior year comparable of minus €88 million. And as aforementioned, in the full year, we even expect free cash flow to turn into positive, as we expect a reduction of working capital towards the year end. This clearly demonstrates the importance and success of our value creation program, namely the achievement of positive free cash flow without one-time effects. Now, let me conclude this section with some key takeaways. As shown on the previous page, the value creation program does already strongly support our financial performance. And it will deliver a positive contribution to EBITDA margin and free cash flow next year in the mid-double-digit million figure, euro figure, which certainly help us not only mitigating future headwinds, but also strengthening our financial performance and competitiveness. And as aforementioned, we expect to keep the current level of our financial performance. And with this, I now hand over to Ludwin.
Ludwin Monz: Thank you, Tania. And we slowly, but surely, approach the end of our presentation and what's still open is a look at our guidance for the current fiscal year. So in view of our solid and resilient performance after nine months, we are optimistic that we will achieve our targets for the year. We expect a strong fourth quarter in terms of sales. We are forecasting sales for the year as a whole to be in line with the previous year at around €2.435 billion, assuming constant currency exchange rates. Despite an improvement in the adjusted EBITDA margin of 80 basis points to 8.0% after nine months, we expect to close the year as a whole at 7.2%, the same level as the previous year. We expect the fourth quarter to be slightly weaker than in the previous year due to an increase in personnel costs compared to the previous year and stronger headwinds from declining volumes, which are reflected in weaker capacity utilization. However, we are confident that we will meet our guidance as our value creation program, as Tania just explained, also secures the margin in the fourth quarter. So this brings me to the three most important findings from today's conference call. As you can see, Heidelberg is setting the course for the future. And our value creation program is of crucial importance here as it paves the way for our future structural improvements and at the same time supports our short-term performance. For this reason, we can confirm our forecast despite the significant headwinds we are facing. Ladies and gentlemen, that concludes our presentation. I hand now back to the moderator to explain the procedure for questions and answers, and we are looking forward to your questions.
Operator: Thank you very much. [Operator Instructions] And first up is Florian Sager from Stifel. The floor is yours.
Florian Sager: Thank you. Good afternoon, everyone. Thanks for taking my question. I have two. The first is, what is your outlook for the calendar year of 2024 in terms of order intake? Do you expect a recovery here for print and packaging? Because I know there will probably be a rebound in your fiscal Q4, but how about the remainder of 2024?
Ludwin Monz: Do you want to ask your second question as well?
Florian Sager: Yes, I can ask the second one straight away. And then for the value creation program, is this also quantifiable in terms of additional EBITDA margin points going forward? I know you mentioned this for this year. Can we extrapolate this going forward as well?
Ludwin Monz: Yes, thank you for your questions. Let's start with the first one on the outlook for the order intake. Well, that's difficult to predict. I mean, right now, we would anticipate some stable development, but wouldn't call it a recovery, right? So as we said, the recovery we hope for then starting in the new fiscal year, but it's really difficult to predict what's going to happen. I was just, as we were explaining, we are dealing with two effects. One is the economic development, the overall economic development, and the other is the impact by the trade fair, Drupa. And both together, it's just very difficult to predict. Regarding the value creation program and extrapolation, that's difficult. As Tania was explaining, the value creation program in essence is about execution of a multitude of initiatives that we have. And what that means is that we will continue to implement our initiatives that we have and we're talking about 250, so it's really a lot. And there will also be effects, obviously, in next fiscal year. But the ex-population is just very difficult here.
Tania von der Goltz: Yes, I can confirm that, of course, we at least expect a run rate on the level of this year. But we are currently still in the budget planning process. And the value creation program actually became an integral part of our planning. And therefore, I kindly ask you to wait until the next quarter when we will share with you our guidance for the upcoming fiscal year and also give you further insights on the components of the value creation program.
Florian Sager: Thanks very much.
Operator: Next up is Tore Fangmann from Berenberg. Over to you.
Tore Fangmann: Hey, good afternoon. Thank you for taking my question. Only one from my side, also on the value creation program. Can you give us a little bit more insight in the 38 million that were the positive impact on this year's EBITDA? How, maybe roughly, of this was really production efficiency and how much was just driven by pricing? Just as I think going forward, it might get more difficult to improve more about the pricing point here. Thank you.
Ludwin Monz: Again, as we were saying, it's really a very broad range. We had one slide where we showed the three areas that we focus on. And there you could see there were top line initiatives. There were what we call operations initiatives, which are mainly cost initiatives. And we had working capital initiatives. So it's really a multitude of things. In the end, it's very difficult to quantify and say that that's the result of a specific initiative, in particular when it comes to top line. Because in the end, you get a certain revenue and a certain price quality. And it's difficult to attribute effects to now specific sub-projects. And so I ask you for your understanding that we simply don't have that information, that breakdown by production and pricing, as you were saying.
Tania von der Goltz: And perhaps let me add to this to further illustrate to you why it's somehow difficult, really, to break it down. Because also, for example, top line on our product and service offering, we also made changes to our offering. And in connection with changes, we also adopted different pricing strategies. So therefore, it's a bit difficult to distract this. And also in production efficiency, let me share with you that, as aforementioned, it's a really holistic program covering the top line, covering the operations profitability and capital efficiency. And we question everything. And we actually also abandoned prior limitations in the company. And we are also evaluating possibilities of make or buy decisions just to give you some more color on what's going on.
Tore Fangmann: Okay, thank you.
Operator: And the next question comes from Stefan Augustin, Marburg Research.
Stefan Augustin: Yes, hello. First one is actually just a clarification. If there was an early Easter egg when you mentioned, I think I understood, that you want to keep the financial performance in the next year. And this is already an indication of what we should think about the EBITDA margin without you giving an actual guidance, or if I just simply misunderstood that.
Ludwin Monz: Currently, we cannot give a guidance for next fiscal year. So please understand that will come with the start of the new fiscal year. We're just saying we will also be ambitious when it comes to the overall financial performance in next year. But again, we cannot and will not give a guidance for next fiscal year today.
Stefan Augustin: Sure. Okay. So then I will return also to the value creation program. And the first one would be great if you can outline a little bit how this implementation and execution program actually differs from the past programs. What are the actual changes in the organization? And the second one is if we look at the savings of the €38 million now, you could actually also make a travel ban and it would probably simply fall into a number like this. But I assume that this €38 million in the perception should be viewed as sustainable. And if you want to at least, let's say, have a similar amount in the next year from the initiatives, and that this would be on top of the already achieved €38 million. Is that the right thinking?
Ludwin Monz: Let's start with the question regarding the changes to the part. As I was saying before, we are really talking about an execution program, and that's important to understand. So we have these 250 initiatives and we have a very stringent and consequent follow up on these. And they're all in one system, we have regular meetings and going really after everything very specifically. So it's really a lot of focus on that. And that simply helps. Right. And this is how we achieve better results. Overall. I would say that we very early on anticipated the changes and the weakness of the economy and started that program very early on. So we were relatively advanced when we were hit with the decline in order intake. And this is why you already now can see a positive effect of the program. We just started early, and I believe that's also very important to understand. And we talked about it now a couple of times. But the other aspect really is the breadth of initiatives, and I believe that's also different compared to previous programs. It really goes from these top line initiatives, which are certainly about pricing, but also about strategies and tactics directly in the market. Please understand that I will not further detail that, because it's highly sensitive and competitive, of course, in that field, but that seems to work out. Then we have that large area of operational efficiency. And in the end it's about cost, right. And cost in all areas. So it starts with logistics, it goes on with a huge field of production purchasing, but also efficiencies in our in house production. So it's really everything. And it finished with all administration costs. This is huge, right. And we look really at everything. Regarding cash flow the capital management is absolutely critical also in these times where the order intake is relatively low, which also has an impact on the capital. So that's how I would describe it, really. The difference is the breadth and the very consequent execution of the program. Regarding the second part, what was that? I have to look here up my notes. Is it sustainable? Okay, what will repeat? Well, there are one off effects and there are effects which will definitely be sustainable. So it's a bit of this and bit of that, and it will be a mix and even if things will not be repeatable there will be new initiatives. And so, overall, I'm optimistic that we will also see a positive effect of the program going forward. I know you would like to hear an amount, but that's the difficult part, of course.
Stefan Augustin: Sure, I understand that. It's also connected to what the market does. And there's, this is coming to my next question, if we, it's more of what if question. If we assume that, let's say, there would be not a swing or order pickup, and next year is a little bit more dire and come out just at like 2 or 2.1 billion in order intake. What would be, let's say, prepared ideas or measures you would undertake to tackle that? I mean, you outlined quite correctly that there is or has been in the past a significant fixed cost amount and that slower rates of production usually made the result to go quite deep down. And that is obviously what the investors are prepared for when they look at current order intake. So, could you spare a moment to talk about the possibilities that you have? And because I'm sure you have thought about this scenario already.
Ludwin Monz: Well, again, unfortunately, today is not the time to talk about an expectation for next year. And also in three months, we will know better what to expect. If you look at the run rate for this year at the current order intake, I would not expect a significant breakdown of everything. Right. Why should that happen? I mean, there's no good reason for that. As I was saying, it's really right now, there's the mix between the economic situation on the one hand and the Drupa impact on the other hand. And both will probably somehow resolve within three months. Economic situation, we don't know, but the Drupa will come for sure. So, because of that, I would not be too pessimistic here. Nevertheless, you ask what if? I mean, you can do the modeling. That's easy because the cross margin we have and then you basically see the impact where we would have if the revenue was lower. And yes, we have a high fixed cost base. And I was saying that in my presentation, that's very little we can do to change that on a short term. Not to say there's nothing we can do. So, the only thing we can do is to really squeeze further on our cost. Short time working, theoretically, is also a measure which we could use more aggressively, but it's really very hypothetical. And from today's perspective, we do not expect that. But I mean, you were asking for what if. And so, these are the things that potentially could be done. But again, there's no way to reduce the high base of fixed assets short term.
Stefan Augustin: And maybe finally, what is currently your observation of the market and what you see what the competitors are doing right now and how they are faring in this situation?
Ludwin Monz: Well, yes, competitors is always a difficult question. I don't want to comment on competitors. But what we see from our customers is there is really, there remains to be some hesitance in some case. Some customers simply postpone their investment decisions. And I was talking to quite some customers in the near past, so just a few days or weeks ago. And there is just a, how should I say, people are uncertain about the future. And they just wait that the overall economy improves and then they will continue to invest. This is why I'm optimistic that things will at some point turn and things will improve. But for the time being, there is this overall sentiment of hesitation and uncertainty. And so, for the time being, we have to deal with it, right? Drupa will certainly create some positive impulse. It's difficult to predict how significant that will be. It will also depend on whether that economic situation improves at the same time or not. But anyhow, I mean, we will meet a lot of customers obviously at Drupa and it will certainly be an opportunity to move the one or the other project which is ongoing.
Stefan Augustin: All right. Thank you very much.
Ludwin Monz: You're welcome.
Operator: At the moment, there are no further questions. [Operator Instructions] There are no further questions.
Ludwin Monz: Ladies and gentlemen, so I would like to thank you for your interest in Heidelberg. We will talk after the fourth quarter, after the full year of Heidelberg in about three months from now. If you have further questions on the current quarter or in the interim until we meet the next time here in the conference, please do not hesitate to contact us. Max Beyer is always a good contact point that you can also reach out to us directly. So thank you again. Have a good time and talk to you after the full year.
Operator: The conference is no longer being recorded.